Operator: Greetings, and welcome to the ABM Industries Third Quarter 2022 Earnings Call. At this time all participants are in a listen-only mode. [Operator Instructions]. As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Paul Goldberg, Senior Vice President, Investor Relations for ABM Industries. Thank you. You may begin.
Paul Goldberg: Good morning, everyone, and welcome to our third quarter 2022 earnings call. My name is Paul Goldberg, and I'm the Senior Vice President, Investor Relations at ABM. With me today are Scott Salmirs, our President and Chief Executive Officer; and Earl Ellis, our Executive Vice President and Chief Financial Officer. Please note that earlier this morning, we issued our press release announcing our third quarter 2022 financial results. A copy of that release and an accompanying slide presentation can be found on our website, abm.com. After Scott and Earl's prepared remarks, we will host a Q&A session. But before we begin, I would like to remind you that our call and presentation today contain predictions, estimates and other forward-looking statements. Our use of the word estimate, expect and similar expressions are intended to identify these statements, and they represent our current judgment of what the future holds. While we believe them to be reasonable, these statements are inherently subject to risks and uncertainties and could cause our results to differ materially. These factors are described in a slide that accompanies our presentation as well as our filings with the SEC. During the course of this call, certain non-GAAP financial information will be presented. A reconciliation of historical non-GAAP numbers to GAAP financial measures is available at the end of the presentation and on the company's website under the Investor tab. And with that, I would like to now turn the call over to Scott. Go ahead, Scott.
Scott Salmirs: Thanks, Paul. Good morning, and thank you for joining us today to discuss our third quarter. ABM generated solid results in the third quarter, continuing our consistent performance throughout 2022. Organic revenue growth of 7.4% was broad-based, driven by healthy demand for janitorial and engineering services in Business & Industry, Aviation and Manufacturing & Distribution as well as in Technical Solutions. And much like the second quarter, the ABM team executed well and mitigated a significant portion of the increase in labor costs while advancing our ELEVATE initiatives. Overall, we generated revenue of $2 billion and an adjusted EBITDA margin of 6.6%, which is well above pre-pandemic levels. I was pleased with our performance when considering the many headwinds we faced this year, including the expected decline of EnhancedClean work orders, significant cost inflation, rising interest rates; and a very, very tough labor market. And in the face of all of that, the team continued to provide outstanding service to our clients while also focusing on profitability. Based on our solid and consistent performance throughout the year, we are adjusting our previous guidance for full year adjusted earnings per share to the upper end of our range and also narrowing the range for adjusted EBITDA margin. We feel confident about our market positioning and our ability to end the year with strong fourth quarter results, given continued favorable demand for our janitorial services and strong demand for our e-mobility and bundled energy solutions. Let's now discuss the demand and operating environment for each of our industry groups. Beginning with B&I, office occupancy rates remain at relatively low levels, but continue to slowly increase. This trend will likely continue into 2023. Modest office occupancy improvement and growth in special events, sporting events and parking is driving growth from existing customers. We've also done a nice job winning new commercial office space business in the New York City market, and we're excited to have been chosen to take on the services at State Farm Stadium in Phoenix. In addition, we recently added a great client in Spirit AeroSystems in Northern Ireland, won by the Momentum team who joined ABM earlier this year. With the most comprehensive service offering in the industry, we expect retention rates to remain high and to continue to win more than our fair share of new business. At the same time, we anticipate that higher margin disinfection work will decline again next year in a post-pandemic environment. Moving to Aviation. The summer travel season has been robust, driving growth in airside and landside operations, which include parking and transportation. We're also seeing strong demand in the UK, driven by their border reopenings. Business travel is also improving, although at a more measured pace. We recently announced an important win at O'Hare, significantly expanding the scope of our service at the airport that will generate an incremental $25 million a year in annual revenue over the next five years. However, labor availability continues to be a challenge in the aviation market, resulting in higher overtime costs. We expect these pressures will continue in the coming quarters. Demand in Manufacturing & Distribution continues to be solid as this segment remains largely unaffected by reduced occupancy levels. As a result, our organic revenue growth reflected the health and relative stability of these end markets. While we don't expect certain of our e-commerce and logistics customers to grow at the same rate as they did during the pandemic, our industry-leading geographic footprint uniquely positions us to win new business, both with manufacturers and life science clients. In Education, K-12 and colleges and universities continued to operate with in-person learning. So we are back to a pre-pandemic demand environment, and we are seeing a much lower level of disinfection-related work orders as we've been signaling in the past. We've on-boarded some large new clients recently, including George Washington University and the School District of Philadelphia, both of which will help drive organic growth in the fourth quarter. We're also seeing a good deal of new contract proposal activity, so we have ample opportunity to renew business as we head into 2023. Labor cost inflation in nonunionized markets, especially in the southern regions of the U.S., and low labor availability, continued to be headwinds that we are managing. These labor dynamics generally put more pressure on Education and Aviation than our other segments. In Technical Solutions, we continued to experience robust demand for our e-mobility charging solutions, where revenue tripled over the prior year period. We expect Technical Solutions to have strong growth again in 2023, aided by the U.S. infrastructure bill and the recent passage of the Inflation Reduction Act, which allocates an incremental $7 billion for electric vehicles, EV infrastructure and other energy efficiency investment activities. We also expect a number of bundled energy solution projects to commence in the fourth quarter. On top of that, Reasonable, our new microgrid business, which I'll discuss shortly, is poised for strong growth. In all, Technical Solutions is very well positioned to benefit from long-term secular trends. Moving to ELEVATE. We continue to make progress in the third quarter. In particular, we implemented a new cloud-based work order system, which when fully rolled out, is intended to meaningfully streamline and improve the current process we have. We continue testing and refining our workforce management tool and made further progress on developing our core cloud-based ERP system. We also launched ABM Vantage, our new data-enabled smart parking platform at a major trade show last month. Early client feedback has been very positive as operators look for ways to generate more revenue with lower operating costs. Lastly, after the quarter ended, we further advanced on our ELEVATE strategy by acquiring RavenVolt, a leading provider of integrated microgrid solutions, including generators and switchgear, that deliver energy resiliency and reliability. This acquisition is a strong fit with Technical Solutions as customers are increasingly turning to microgrids to bolster their on-site energy capacity for EV charging, reducing emissions and meeting sustainability goals. We're really excited to have the RavenVolt team on board. Before I turn it over to Earl to discuss the third quarter financials, let me make a few summary comments. First, on the demand side, the general environment is constructive. We are returning to pre-pandemic levels in terms of travel, in school learning and industrial activity. Office occupancy is also trending upward, but slowly. We have tremendous growth opportunities in Technical Solutions, driven by energy efficiency, sustainability, cost reduction and risk mitigation and further boosted by government stimulus. The RavenVolt acquisition provides us with another high-growth opportunity to win new business. In fact, overall, we expect to finish 2022 with another new sales record. On the cost side, we're continuing to manage several challenges in the current economic environment. The labor pressures we are currently experiencing are largely unprecedented. With unemployment at historically low levels, immigration greatly reduced from prior years. And with high demand from the rapidly recovering travel, restaurant, retail and service industries, labor shortages are driving labor inflation. We are seeing wage pressure in both blue collar and white collar positions and a real battle for talent. We expect these challenges will persist into 2023. In this environment, we'll remain vigilant on pushing through price escalations, managing costs and developing systems, programs and processes to operate more efficiently and to effectively attract, retain and manage talent. At the same time, we'll continue to invest in ABM to ensure we build off the strong competitive position we've established. So with that, let me now turn it over to Earl for the financials.
Earl Ellis: Thank you, Scott, and good morning, everyone. For those of you following along with our earnings presentation, please turn to Slide 5. Third quarter revenue increased 27.1% to $2 billion, largely driven by acquisitions, continued recovery from the pandemic, especially in aviation; and solid demand for our janitorial and engineering services as well as strong growth in e-mobility. Organic growth of 7.4% was broad-based across all segments. Moving on to Slide 6. Net income in the third quarter was $56.8 million or $0.85 per diluted share, up significantly over the same period last year. The increase in GAAP income primarily reflects higher segment earnings and the absence of a litigation settlement reserve taken in the prior year period, partially offset by ELEVATE-related investments and lower benefits from prior year insurance adjustments. Adjusted net income for the third quarter increased 3% to $63.2 million or $0.94 per diluted share compared to $61.3 million or $0.90 per diluted share last year. The increase primarily was due to higher segment earnings on higher revenue compared to the prior year period. Adjusted EBITDA increased 11% over the prior year period to $125.5 million. Adjusted EBITDA margin for the quarter was in line with our expectations of 6.6% versus 7.7% last year, largely reflecting the anticipated decline in work orders, which included higher-margin disinfection services as well as higher operating costs, particularly labor. Corporate expenses, excluding items impacting comparability, were essentially flat to the prior year period. Now turning to our segment results, beginning on Slide 7. B&I revenue increased 51.4% to over $1 billion, primarily due to the contribution from the acquisition of Able and Momentum. Excluding acquisitions, organic revenue was 7.1%, reflecting continued growth in special events, including sports, and business expansion with existing customers.  Operating profit in B&I increased 15%, $82.4 million, benefiting from significantly higher revenue. Operating margin of 8% was lower than prior year and reflected reduced EnhancedClean and disinfection-related workforce versus the prior year and higher labor costs. Aviation revenue increased 21.3% to $203.5 million, marking the fifth consecutive quarter of robust year-over-year revenue growth. This improvement was largely due to increased leisure and business airline traffic and related parking activity as the economy continues to emerge from the pandemic. Aviation operating profit decreased 5.1% to $9.5 million versus $10 million in the prior year, and margin declined 130 basis points to 4.7%. These declines were the result of the expected decrease in high-margin pandemic-related work orders as well as ongoing labor pressures, including wage increases and overtime costs. Turning to Slide 8. Revenue within our Manufacturing & Distribution industry group grew 5.2% to $358.1 million, reflecting expanded business with existing e-commerce and manufacturing clients. Operating profit and operating margins were both slightly down in the quarter to $38 million and 10.6%, respectively. These results reflect lower levels of EnhancedClean as well as higher costs related to labor shortages, most notably in the Southern states. Education revenue modestly increased to $207.5 million, benefiting from new business wins. We expect to see improved year-over-year revenue growth in our fourth quarter as these new clients ramp up towards a full run rate. Education operating profit was $14.5 million, down from $18 million in last year's third quarter, due to lower EnhancedClean revenue as well as higher wage costs, including overtime expenses, especially in less populated areas, which tend to have shallower pools of available permanent labor. Operating margin of 7% remained elevated from pre-pandemic levels. Technical Solutions grew 9.3% to $158.4 million, largely driven by continued strong growth in our e-mobility service offering in which sales tripled from the third quarter of last year. We expect strong growth in the fourth quarter as certain bundled energy solution projects commence and we benefit from continued growth in e-mobility. Operating profit was $15.4 million compared to $14.4 million last year. Operating margin decreased 21 basis points to 9.7%, primarily reflecting a service mix that was more heavily weighted to our e-mobility service line versus prior year. Moving on to Slide 9. We ended the third quarter with total debt of $1.4 billion, including $159 million in standby letters of credit, resulting in a total debt to pro forma adjusted EBITDA ratio of 2.4 times. At the end of Q3, we had available liquidity of $769 million, including cash and cash equivalents of $63.9 million. Please note that after the quarter ended, we funded approximately $170 million for the RavenVolt acquisition, primarily from our revolving credit facility. Interest expense was $11.1 million in the third quarter, up nearly $5 million over the prior year period and $3.3 million sequentially from Q2, reflecting the recent Fed action and higher debt levels year-over-year. Q4 interest expense will be sequentially higher than Q3 and more indicative of the ongoing run rate due to a full quarter of rate increases and the funding of our acquisition of RavenVolt. Turning to capital allocation. We repurchased roughly 744,000 shares in the third quarter at an average price of $41.92 per share for a total cost of $31.2 million. In total, through the first three quarters of fiscal 2022, we repurchased approximately 1.7 million shares for $74.5 million. Now let me briefly touch on guidance, as shown on Slide 10. As Scott mentioned earlier, we are narrowing our guidance for full year 2022 adjusted EPS to the top end of our range. Our revised forecast for adjusted EPS is now $3.60 to $3.70, up from $3.50 to $3.70 previously. We are also guiding for full year adjusted EBITDA margin to be around 6.6%, which is at the midpoint of our prior forecast of 6.4% to 6.8%.  Guidance for full year 2022 GAAP EPS is now expected to be in the range of $3.20 to $3.30, reflecting the narrowing of the range and benefit from changes in items impacting comparability. With that, let me turn it back to Scott for some closing comments.
Scott Salmirs: Thanks, Earl. Although we faced some near-term headwinds, I'm very excited about the future of ABM. Nobody in our industry matches the scope of our services, the scale of our operations or the strength of our balance sheet. I'm confident we'll close out 2022 in solid fashion and put further distance between us and our competition in the coming years. With that, let's take some questions.
Operator: [Operator Instructions] Our first question comes from the line of Sean Eastman with KeyBanc Capital Markets. Please proceed with your question.
Sean Eastman: Hi, guys. Thanks for taking my questions and good quarter. I just wanted to firstly ask on the buyback. So it looks like capital -- it looks like the buyback activity has stepped up [technical difficulty] '22 making this a pretty outsized year for share buybacks. What would you like investors to read into that?
Earl Ellis: Yes. No, thanks for the question, Sean. So I would say, as we've articulated earlier, we will always look to, at a minimum, repurchase shares to offset the anti-dilutive nature of our share-based compensation. This year, we did that as well as just a little bit more. If you think about, that portion would probably usually be about 600,000 shares.  So we did about 1.1 million shares over and above that as we really saw the dislocation in the market and really took the opportunity to take advantage of that. As we've mentioned in the past, we'll use our share buyback opportunistically, really balancing between allocating to M&A activities and barring that, looking at opportunities to redistribute funds back to the shareholders in the way of share buybacks.
Sean Eastman: Okay. Got it. Got it. And then I realize it's probably early for a formal refresh on the fiscal '25 targets. But I just wanted to check back in there given the inflationary pressure that's developed since those targets were set, sort of the acuteness of the labor availability challenges that's developed since those targets were set. But then maybe on the flip side, some higher-margin high-growth opportunities have seemingly firmed. So even just qualitatively, kind of if you could sort of refresh us on how you're thinking about that organic growth and margin trajectory that you laid out back in December.
Scott Salmirs: Sure, Sean. Look, what I would say is nothing has really changed in our long-term outlook for where we're finishing up our ELEVATE program. It's certainly not linear. And there's no question that the macroeconomic environment has changed, and we all know that since December.  So again, we feel like the end path is still the same. It's just -- it may be a little lumpy given what we're seeing in the labor markets right now and the interest expense headwinds. But we feel really good about where we're heading and we're continuing to invest in ELEVATE. We continued to do some really good strategic acquisitions. So again, not linear, but we're feeling really good about the end game.
Sean Eastman: Okay, thanks. I'll turn it over there.
Operator: Our next question comes from the line of Andy Wittmann with Baird. Please proceed with your question. 
Andrew Wittmann: Good morning. Thanks for taking my question, guys. I guess I wanted to just drill in a little bit more on the labor market. And given that the labor market is tight in availability, it's difficult. It sounds like over time and usage of agency continue to be at least part of the solution that you're having to employ today. I was just wondering, Scott or Earl, if you could just help us understand how that is trending. If you could talk about maybe like a quarter-over-quarter change in like the amount of overtime or agency that you're using, just so we can get a sense of how that's affecting your P&L given that, that's kind of the Street bucket.
Scott Salmirs: Sure. Sure, Andy. And I'll do it probably more directionally. I will tell you that the labor pressures have not subsided at all. And if we were looking at kind of even the first half of this year versus second half, we're seeing more pressures now. I think the statistics that came out a couple of days ago, there's 11 million open jobs, 11.3 million open jobs in the economy. It's like -- so it gets us in two ways, Andy. One, we're seeing labor inflation, right? We're seeing -- just in our Education segment alone, we're seeing base wage labor inflation of 10% per year, right, which is tough. And then availability. There's -- although it's getting a little better, it's still super, super hard to find people, attract the talent to come and do these jobs. The service industry as a whole has been feeling these pressures. And what that manifests to is using over time when you don't have the full complement of staff, and we're seeing that. And I would just say to you like we're probably, just from an overtime standpoint, up double-digit from where we were last year. So directionally, I don't think things have gotten better. And while I don't think they're going to get worse, I feel like where we are today, is going to trend for the next few quarters, just being really super hard.
Andrew Wittmann: I appreciate the context on that. I guess for my follow-up, I wanted to ask about work order demand. I mean, obviously, you guys talked about this at length. You said at the Analyst Day, you gave expectations. And it seems like -- well, you tell me, how are things trending on the work order side of the business?  Can you maybe talk about -- I mean, you guys articulated that it was pushing 10% of the company's revenue at the kind of the COVID peak it normally had been, I guess, would you say 4% or 5%. You can correct me if I'm wrong on that. Kind of where were you in the quarter? And how much did that change over the prior quarter? Just trying to get a sense of how that is falling off. You mentioned in your prepared remarks that you expect it to continue to decline in fiscal '23? Maybe another way of asking that is how much revenue headwind do you see from this kind of work into 2023?
Earl Ellis: Yes. Let me just start off with that, Andy. Thanks for the question. I would say as we expected, we knew that from the heights of last year that we would actually see a reduction in work orders. So if you look at last year Q3, we're probably closer to 9%. That's actually dropped off to about 6%. So we continue to see that tailoring down. Last quarter, I think it was probably closer to 7%. But when you look at what we suggested, we would be recouping or capturing. I think we're currently on trend with what we actually thought we would be at this point in time.
Scott Salmirs: Yes. I mean it's -- from an EnhancedClean standpoint, just as we said, we thought it would be trailing off. As we see RFPs come out, we see it getting baked into the specification. A bit hard to kind of give you percentages on that. But if there's no question we see in the block off that we predicted. But we've been fortunate too because at the back to work in B&I hasn't been as robust as we thought. So we're picking up some tailwind there.
Earl Ellis: Yes. And then just your last question as far as the impact that it actually has on revenues, again, much like we modeled, we knew that we were going to have a reduction in this mix of our revenue, but it really is being offset by new business wins as well as just what we're seeing as far as the modest recovery in the office buildings and the economy in general.
Scott Salmirs: Yes. And the other thing I would say, Andy, because I want to make sure I get this in, like our team has done an incredible job on the labor side with grouping escalations, which helps, generally speaking, the entire firm. But even when you see work orders trail off and you're out there getting strong escalations, the team has done a great, great job. Clearly, we don't recover 100% of the wage inflation. Nobody can. But the guys have done a really, really good on that.
Andrew Wittmann: Thanks.
Operator: Our next question comes from the line of Tim Mulrooney with William Blair. Please proceed with your question.
Tim Mulrooney : Good morning, Scott, good morning, Earl. Scott, building on your last comment there about your team doing a great job. If I look at your B&I segment or if I just look at your EBITDA margins, I guess, on a consolidated basis, you did 6.8% EBITDA margin this quarter versus pre-pandemic levels that were closer to 5%. So I know the labor market is tough, but clearly, you're still well above where you were before. How much of that expansion -- with this delay in back to work, how much of that expansion do you think is related to labor efficiencies versus other things that Andy asked about, like higher-margin EnhancedClean work?
Earl Ellis: I think it's hard to like literally 10.1 versus the other. It was 6.6% this quarter, not 6.8%.
Tim Mulrooney: Sorry. 6.6%, okay.
Earl Ellis: Yes. look, I think it's a plethora of things. It's the teams going out and capturing estimations. It's about managing expenses. It's just right selling. The other thing that we haven't talked about is we're on track to have another sales record of bringing in new business. So I think it's a combination of all these things.  The labor efficiency definitely helps because the buildings aren't where they were. But anyway, I just think every -- there's so many things, I would tell you, Tim. We've been exiting business that has not been profitable. So if we can't get the escalation, we've been disciplined. And we've been on that path for the last 2 or 3 years, at least. So I think we're trending really well.
Tim Mulrooney: Combination of several things, not the labor efficiency?
Earl Ellis: Yes. Yes.
Tim Mulrooney: Okay. My second question, Scott, I want to ask you about RavenVolt. So I mean, can you just talk a little bit more about the strategic rationale behind this acquisition? You did a good job in the prepared remarks of laying it out, but -- my question is why does RavenVolt fit well within ABM? What capabilities do you guys bring to the table that can help fuel growth at a company like RavenVolt?
Scott Salmirs: Yes. And let me just start because the word micro group using. I want to -- I'm going to do it really simple. So picture a 500,000-square-foot office building that's getting its power from the grid. You have downstairs.  You have all the power coming in. Now picture having kind of a bank of generators sitting side by side from that building that can fire up, that's either gas fired or oil-fired. And now you're able to switch back and forth from the power grid to a bank of generators, again, that's fired by oil or gas. And you could say, wait, because I don't know if you guys know this, but the energy rates off the grid change during the day. There's peak hours. There's down hours.  And now you can imagine say, we're going to peak period of electrical costs. We're going to switch to the micro grid to save money now. And so it's cost efficiency. And it's a really big deal. It's probably the hottest area in terms of sustainability and energy efficiency.  And what we're seeing now, Tim, is more and more RFPs come through for basic electrical services like a retrofit project where they're asking about our microgrid capabilities. And heretofore, we were looking for some contractors or we were just basically saying, we don't have the internal capability to subcontract.  So now between being able to say that this is a muscle that ABM has self-performed for the bundled energy solution projects to just being able to cross-sell into the rest of the $7.5 billion worth of revenue, we're just super, super excited about the capability that this brings. It's literally the hottest area in the kind of the whole Technical Solutions space right now.
Earl Ellis: And I would just add, Tim, just in addition to that, if you think about our emerging e-mobility business, and a lot of the fact that you're going to be looking at a significant electrification of vehicles over the next several years, the infrastructure needed to do that and the power augmentation that's going to make, that's really the sweet spot of RavenVolt, really helping clients understand how they can actually augment their power to facilitate the infrastructure for EV mobility.
Tim Mulrooney: Alright. Thank you.
Operator: Our next question comes from the line of Marc Riddick with Sidoti & Company. Please proceed with your question.
Marc Riddick: Good morning, everyone. So I want to touch on a couple of things, but really to start with, I guess, maybe piggybacking on RavenVolt commentary and then more bigger picture. Maybe you could talk a little bit about what you're seeing in the acquisition pipeline. And then sort of where you are from -- when we go back to the Investor Day, the goal was adding about $2 billion of acquisition revenue by -- I believe, by the end of fiscal 2025, if I remember correctly. So if you maybe sort of bring us up to date on sort of where you are on that target and maybe talk about maybe what your current view is on the current pipeline and appetite.
Scott Salmirs: Well, look, I think it's clear, we're off to a super-fast start, right, between Able acquisition, which was $1 billion of revenue and then Momentum and now RavenVolt, we're out of the gates really strong. And it's always great when you front-load those acquisitions over a 3- or 4- or 5-year time horizon. So we're really excited about that. And we definitely see that in the marketplace.  There's just a little bit more caution right now. People are kind of pausing a little bit. But our pipeline actually is pretty strong. And RavenVolt, you would look at as a tuck-in at $100 million in revenue. But I think there's ample opportunity for us to do tuck-ins like that right now. So, I don't see it necessarily slowing down. 
Marc Riddick: Okay. And then, Scott, briefly, you mentioned on in your prepared remarks around some of the longer term drivers including, the opportunities that are in front of you, that are based on the on the Federal act. And I was wondering if you could talk a little bit about maybe what you're thinking bigger picture as to when other timing and visibility as to maybe what your initial thoughts on and sort of how that might flow through to ABM. Obviously, we're not talking about any actual guide numbers kind of thing, but sort of maybe if we should think about sort of bigger pictures, how that might come across.
Scott Salmirs: Yes. I think it's a little early, right, because it's just coming in now. But I think if you look at our technical solutions group with the retrofit work we do with what RavenVolt vault is doing now, I think we're really -- and the fact that we're the number one easy charger and store in the country, and we just launched a product possession of that which we call our E-mobility solution, saying that we can kind of do everything for you, we can design your charges, we can install your charges.  Ultimately, we'll be procuring energy. So, we're really rounding out that offering. So I think we are really well positioned to take advantage of it. But a lot of that legislation has just recently been released. So we haven't seen the full magnitude of it and the velocity of how those funds are going to be deployed. But again, we think we're sitting pretty right now.
Marc Riddick: And then can you give us a little bit of an update on -- and the commentary around what's taking place with travel with a little bit more commentary around the business kind of creeping in, I guess, a little bit more. And I think the addition of some of the parking commentary that you had. If I remember correctly also, there was -- you had brought up sort of how that mix has evolved between airport and airline activity and orders. And I was wondering if you could talk a little bit about maybe sort of what you're seeing there, given what's taking place with the challenges of being in an airport overall, but sort of kind of what you're seeing there?
Scott Salmirs: Yes. So the volumes are about 90% now, if not even higher to where it was pre-pandemic. Anyone who's traveled has seen the airports are really full. If anything, there's been a lot of frustration around travel because of canceled flights. Because, look, we talk about our labor pressures. Go to an airport and see that you flight is canceled because they can't find pilots, because they can't find people at the gates to let people in, baggage handling.  So anything around labor has caused frustration. And so -- but that hasn't deterred people from traveling. So we're seeing the volume. We've made a move to switch our portfolio 60%-40%, 60%, airports; 40%, airlines. And our profitability is up. We're over 100 basis points up from where we were pre-pandemic. Because we've been disciplined, we've got out of unprofitable contracts. The team has done a great job on the aviation side.
Operator: Our next question comes from the line of Faiza Alwy with Deutsche Bank. Please proceed with your question.
Faiza Alwy: Yes, hi. Thank you. Good morning. First, I just wanted to ask about the B&I segment. You touched on some of the drivers there. But curious if we could get a little bit more color around what's driving the acceleration in the growth rate there and the margins. It sounds like there are some new wins, but maybe give us some perspective on what you're hearing from clients. And was there incremental pricing? And how much -- was there a revenue synergy component as it relates to Able within that segment?
Scott Salmirs: Yes. So there's a lot there. And what I would say is, when I look at the B&I segment, first of all, we have the benefit of Able. And that acquisition, which has been tremendous. And we have seen a return to office, again, not as much as probably anyone would have expected a year ago, but we've seen a return to office. So that's helped. And we've won just a good deal of new business and expanding with clients. So the kind of environment for growth has been good for us.  And again, I would say, I would attribute it mostly to the fact that we brought in Able and that there's some return to office. So that will flatten out over the -- that will flatten out over time. So we're feeling really good about that. And it's the core of ABM. It always has been. It's our largest segment. And it will remain robust, we think, through '23.
Faiza Alwy: Okay. Great. And then just secondly on -- at Investor Day, you talked about the investment allocation as it relates to ELEVATE. And you talked about some digital transformation initiatives, growth initiatives and workforce people initiatives. So I'm curious if you could help us think through like how much of this investment has been allocated across the three areas at this point? And how much -- where you are in this process, I guess.
Scott Salmirs: Yes, sure. Yes. So like we don't have it like actually bucketed ERP versus that, that I think would be interesting to you. I think what I would say is we're on track. We've had a lot of great progress. So, so far this year, we initiated three new systems, tech systems that have been great, an applicant tracking system, which has been wonderful for -- and will continue to be wonderful for us being able to bring in field workers, because you can track them all the way through the process. That's a new cloud-based system we put in. We put in a new work order system. We put in a new risk management system. We launched our ABM Vantage new parking, smart parking.  So across the platform, we have a lot of really good stuff going on. It's on track. And our projected spend will probably be a little lighter this year and maybe catch up more next year. But it was never meant to be an exact science in terms of how much we spend. But I would say everything right now is on track. And the big external for us is next year when we launch our ERP system and start cascading it through the industry books.
Faiza Alwy: Okay. Thank you so much.
Operator: Our next question comes from the line of David Silver with CL King & Associates. Please proceed with your question.
David Silver: Hi, good morning. Thank you. So I guess I would like to ask you maybe about the Able Services acquisition a little bit more. So it's been almost exactly a year since you closed on that. And as I recall, there were both significant cost synergies envisioned. But also, I was kind of even a little bit more interested in the revenue synergy potential. In other words, the ability to migrate that bundled service or operating engineer-based model to maybe customers in other metropolitan areas or geographies. So if you could, maybe just some comments about the synergies, cost and revenue that you're seeing at this point one year on from Able? Thank you.
Scott Salmirs: Sure. Yes, sure. So look, everything has gone basically as expected. We're on target. Synergies are on target from where we want them to be. On the revenue side, it's performing as expected. I think the big thing for us, David, this year, it was all about having the entire firm integrated into ABM. This is $1 billion acquisition. So we spent a ton of time on integration to make sure. And I think kind of year or two is going to be about the revenue synergies and how we can cross-sell. So for us, we just didn't want to attack too many things at once because it was really important to get the integration right. So I think more to come, and you're going to hear more about this from us over the next few quarters because we're really excited about the potential.
David Silver: Okay. Thank you for that. And then maybe just the last question is kind of maybe about the future of office occupancy, office space. So just from a bigger picture point of view, Scott, a lot of headlines these days about major big-name employers trying even harder to get their remote workers back into the offices.  And you had opined a few times over the past few quarters about concepts like how much space per worker might be rising in the post-pandemic environment maybe offsetting some other trends. But as you sit here, and maybe if you wouldn't mind sharing qualitatively a few of the comments or a few of the priorities from your major customers, I mean, how do you see just the overall demand and the layout and the demand for particular ABM services evolving as big, big companies try ever harder to get people back in the office? Thank you.
Scott Salmirs: Yes. No, that's a good question. Look, I will say this, it is just actually too early to tell. Because just when you thought that people were never coming back to the office, and employers didn't have control because of what's going on, the macroeconomic environment is changing. It's getting tougher. We'll see if people come back to the office more. I think it's way, way too early to tell. I mean for ABM, we feel really, really insulated from that, only because the majority of the space that we clean on the B&I side is Class A space, modern buildings with modern filtration systems for air, better cleaning specs. Our thesis is that tenants in C buildings are going to gravitate to B buildings and B buildings to A buildings. And so we don't think this is going to have a major effect on Class A buildings in terms of occupancy levels. And the way I think about it and the way I would give you context on it, picture a 20,000-foot tenant that's spending $1 million on rent and they're on a B building, maybe they only need 10,000 feet now, but they're still happy to spend $1 million on rent. They move up to an A-class building with 10,000 feet. And we're starting to see some of those trends. We're starting to talk to clients who have said, "We may downsize, but we're going to try to upgrade our space." So we feel like as a firm, we're starting to get insulated. And let's not forget, people are incrementally coming back to office. So it's not like we've reached space. It feels like every quarter, it's incrementally more, but probably smaller increments than we thought.
Operator: Our next question comes from the line of Tate Sullivan with Maxim Group. Please proceed with your question.
Tate Sullivan: Hi, thank you. A couple of follow-ups on Aviation. And then Scott, you provided some good details. But I mean, historically, I think you exceeded annual revenue in Aviation of a little more than $1 billion. Is there something different going forward in the Aviation business that you would not get back to that number? I know you're not in the fuel business anymore, but I mean just setting expectations, could you approach that number again?
Scott Salmirs: No question. No question. It's just going to come organically now. Part of the reason that we're at a lower numbers, because we exited contracts, specifically because they weren't making money, and we're not in the revenue game when it's a loss. So I think for us, I would look at where we are from a run rate standpoint and look at that as our baseline, and we'll just be growing organically now. And the best example of that is the O'Hare win that we got last month of $25 million a year for five years. I mean it's incredible. So I look at this as the baseline. We'll grow from them, and we should be $1 billion plus.
Tate Sullivan: One more, if I may, on energy and efficiency and technical solutions work. besides improving the older infrastructure inside buildings. Can you comment on how many projects currently incorporates solar at our batteries? Or is that more of an opportunity going forward, particularly after the Inflation Reduction Act passing?
Scott Salmirs: Yes, that's more of an opportunity going forward, like and we're positioned for that, but we haven't seen a lot of activity just yet, right, because it's so new, the infrastructure build. But I will tell you, on our Technical Solutions group, our backlog, which, again, remember, backlog is signed contracts waiting to start, our backlog is the highest it's ever been right now. So in terms of -- I guess, the bigger question would be -- or the bigger answer would be in terms of sustainability, in terms of energy efficiency, the whole ESG platform, it's -- we're just well positioned and again, the biggest backlog we've ever had.
Operator: Our final question this morning comes from the line of Andy Wittmann with Baird. Please proceed with your question.
Andrew Wittmann: Okay. Thanks for let me back in. I just thought it would be helpful for to have a little bit more detail on the EPS accretion that you might be getting from RavenVolt. Obviously, you guys gave the revenue give EBITDA in the press release. And that was super helpful, and we all did the math on that. But there's is going to be intangible amortization attached to that because of the backlog business, which is going to burn off, but also probably because of some goodwill that won't burn off.  But I guess we were thinking that you could probably get $0.03, $0.04, $0.05 of annual EPS accretion after you take the intangible amortization hit. I guess, Earl, could you just comment if that's kind of the right way of thinking about it? And then just given the moving pieces that you noted on interest rates as well as the incremental debt you'll be taking on for RavenVolt, could you just talk about what you think the interest expense run rate will be? Just heading into initial guidance for next year, I think these are two areas that there could be some variability, and you can all get us tightened up on those items.
Earl Ellis: No, absolutely. So we believe that the RavenVolt acquisition is definitely going to be cash accretive. I would say from an adjusted EPS. I think you're actually in the range. I'd say probably $0.03 to $0.04 based on the fact that we will actually have some amortization of the intangibles. So I think you're spot on. With regards to interest rates, obviously, we have been impacted by the 225 basis point increase that the Fed is actually put into place over the course of the last year. So when we look at our current run rate based on our fixed floating mix, we're looking at about a little over $15 million of interest per quarter. So hopefully, that helps you in the modeling.
Andrew Wittmann: Thank you very much.
Operator: Thank you. Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Salmirs for any final comments.
Scott Salmirs: Sure. Look, I just want to thank everybody for participating today and the interest you have. And I just want to close with just saying just briefly, on just behalf of our entire team, I want to extend our thoughts and condolences to our team members, to our clients and partners across the United Kingdom and the Commonwealth following the sad news of the passing of Queen Elizabeth II. I mean, her devotion to service will undoubtedly remain an inspiration for generations to come. And again, we just wanted to extend our condolences.  So thank you, everybody, for participating and look forward to Q4, coming back to you and chatting some more. But thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.